Operator: Greetings and welcome to Postal Realty Trust first quarter 2021 earnings call. At this time, all participants are in a listen only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions]. As a reminder, this conference is being recorded. I would now like to turn the conference over to your host Mr. Jordan Cooperstein, Vice President of FP&A, Capital Markets. Please go ahead.
Jordan Cooperstein: Thank you. Good evening everyone and welcome to the Postal Realty Trust first quarter earnings conference call. On the call today, we have Andrew Spodek, Chief Executive Officer, Jeremy Garber, President, Robert Klein, Chief Financial Officer and Matt Brandwein, Chief Accounting Officer. Please note the use of forward-looking statements by the company on this conference call. Statements made on this call may include statements that are not historical facts and are considered forward-looking. These forward-looking statements are covered by the safe harbor provisions for forward-looking statements contained in the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those described in the forward-looking statements and will be affected by a variety of risks and factors that are beyond the company's control, including, without limitation, those contained in the company's 10-K, filed on March 30, 2021 and its other Securities and Exchange Commission filings. The company does not assume and specifically disclaims any obligation to update any forward-looking statements, whether as a result of new information, future events or otherwise. Additionally, on this conference call, the company may refer to certain non-GAAP financial measures, such as funds from operations and adjusted funds from operations. You can find a tabular reconciliation of these non-GAAP financial measures to the most currently comparable GAAP measures in the company's earnings release. With that, I will now turn the call over to Andrew Spodek, Chief Executive Officer of Postal Realty Trust.
Andrew Spodek: Good evening and thank you for joining Postal Realty Trust's first quarter 2021 earnings call. We hope you are all safe and well. Building on our strong 2020, we achieved a number of milestones in the first quarter, including the completion of an upsized overnight marketed offering raising $57 million of gross proceeds and receipt of a renewal for our master lease encompassing 135 properties extending the maturity date to February 2027. On the acquisition front, we continue to execute with the completion of approximately $26 million in accretive acquisitions supported by a meaningfully enhanced capital structure. We remain quite confident about our positioning as we have plenty of financial capacity to continue to expand our platform of U.S. Postal Service last mile, flex and industrial facilities. As been our experience to-date, our portfolio is 100% occupied and we have collected 100% of our rent. Our lease renewals, most notably the ones that relate to our master lease for 135 properties, serve to enhance already stable revenue stream. The composite of accretive acquisitions, a historical 98% renewal rate, stable cash flows and a credit tenant allow us to enhance our total return profile. We have consecutively raised our dividend since our IPO in 2019 to an annualized $0.88 per share and unit. Our investment activity provides the fuel for our growing dividend. As I mentioned earlier, we completed the acquisition of 54 USPS properties for $25.8 million, excluding closing costs, totaling 686,000 leasable interior square feet. These properties include 36 last mile, 15 flex and three industrial facilities. Quarter-to-date, we closed on an additional 13 properties for $5.4 million, excluding closing costs, including an OP unit deal priced at $18.54 per unit. We have another 52 properties totaling approximately $18.5 million under definitive contract that also include OP units as part of the consideration. Looking ahead, our pipeline remains full and we are finding that the market for postal properties is right for the opportunities. Given the fortitude of our balance sheet and financial capacity and our ability to offer multiple sources of consideration, including OP units, we expect to continue to execute and maintain our position as a market leader and a natural buyer of assets with the Postal Service as the tenant. With an experienced team and a resolve to build on the progress we have made over the past few years, we are optimistic about the year ahead and excited about the consolidation opportunity for us. I will now turn the call over to Rob to walk through our results and our capital position.
Robert Klein: Thank you Andrew and thank you everyone for joining us this evening. I echo Andrew's comment that we are now better positioned than ever to actively pursue our growth plans and to continue the consolidation of a fragmented industry. Our key competitive advantages continue to be our platform scalability, as evidenced by our earnings as well as our conservative balance sheet continuing to afford us ready access to capital. This quarter's numbers reflect both. FFO and AFFO grew substantially on a per diluted share basis as compared to the first quarter of 2020. FFO per share improved by 75% at $0.21 per share from $0.12 last year, while AFFO per share grew approximately 29% to $0.27. When taking into consideration our January equity raise, this year-over-year improvement truly reflects the accretive nature of our acquisition activity. Moving on to the balance sheet. At March 31, 2021, we had $3.3 million of cash and approximately $97.8 million of gross debt with a weighted average interest rate of 2.2%, comprised of $64.5 million dollars of floating rate debt on our facility and $33.3 million of fixed-rate mortgages. At quarter-end, our net debt to enterprise value was just under 25%, net debt to annualized adjusted EBITDA was 4.2 times and our fixed charge coverage ratio was 7.3 times. As Andrew mentioned, in January, we raised $57 million of gross proceeds in an upsized offering. The proceeds were used to fund the acquisition, repay a portion of the outstanding debt on our credit facility and repay $13.7 million in mortgages that carried an interest rate of 4.25%. By retiring these mortgages, we were able to drive our overall cost of debt lower which will benefit earnings going forward. Our property cash flows and acquisition activity continue to fuel our growing AFFO and cash available for distribution. On April 30, 2021, the company declared a quarterly dividend of $0.22 per share of Class A common stock. The dividend equates to $0.88 per share on an annualized basis and continues our trend of increasing the dividend in every quarter since we went public in May 2019. We are prepared for another year of growth and are well positioned to execute on our strategic plan. This concludes our prepared remarks. Operator, we would like to open the call for questions.
Operator: [Operator Instructions]. Your first question comes from the line of Rob Stevenson with Janney. Please proceed with your question.
Rob Stevenson: Good afternoon guys. Andrew, can you characterize, has there been any change in how the Postal Service is addressing lease roll with you guys under the current administration versus the previous for the 2021 and 2022 lease rolls that you have remaining? Is that anticipated to be done in an orderly time? Or is that likely go on essentially extension? How should we be thinking about that as we go over the next, call it, 18 to 20 months?
Andrew Spodek: Hi Rob. I don't really believe that our leases or pretty much majority of the leases are being addressed or thought about by the administration. As you know, the total lease amount accounts for under 2% of the Postal Service total expenses. And I don't believe it rises to the occasion of what they are focused on right now. There has really been no change from our perspective. We are in the process of negotiating the 2021s. So we believe that the 2021s and 2022s will move a lot more efficiently than the 2019s and 2020s. And we are hopeful to get them done as soon as we can.
Rob Stevenson: And is that likely to be similar to the five years that you did on the master lease back in January? Is that with the term is that they are basically looking for? Or are they doing shorter term stuff?
Andrew Spodek: No. Their typical lease term is five-year fixed in duration.
Rob Stevenson: Okay. And then you guys talked in the release about having some of the $18.5 million under contract via OP units. How much of that should we be expecting in terms of OP units?
Andrew Spodek: The majority of that $18.5 million is in OP units.
Rob Stevenson: Okay. And are you seeing more interest here? Is it just one or two sellers that are motivated by the tax deferral nature? And I assume the stock price being 20-plus here makes issuing OP units more attractive to you. But how would you be thinking about doing it on small deals if somebody came to you with $500,000 and $700,000 transaction. Is that too small to do units? Not worth the time?
Andrew Spodek: So there are a few questions in there. So first of all, historically, we really haven't offered the ability to do an OP unit transactions to properties of the smaller amount, let's call it $1 million and under. We just did an OP unit transaction that was under $1 million as a test case to see how it went. It actually went smoother than we thought. So it is something that we would consider based on, obviously, the deal and the terms. We are seeing a tremendous amount of interest around the ability to contribute their property to the REIT. The people that are calling us are really interested in partnering with us because they understand our relationship with the Postal Service. They understand what the opportunity set in front of us is and how secured and confident they are in the cash flows and how we operate the properties. And so these families are entrusting us with their properties and we are very proud of that. A lot of people that are calling us about these transactions are interested in these units and not all of them actually end up executing with the use of the entire transaction units or even a portion of it. But it creates a lot of deal flow and a lot of competition.
Rob Stevenson: Okay. And are you putting any lockups on the OP units?
Jeremy Garber: The standard limited partnership agreement calls for a one-year lockup on OP units. It's more of a tax protection strategy than anything else.
Rob Stevenson: Okay. Thanks Jeremy. Thanks guys. I appreciate the time.
Jeremy Garber: Thank you very much, Rob. I appreciate the question.
Operator: Your next question comes from the line of Jon Petersen with Jefferies. Please proceed with your question.
Jon Petersen: Great. Thanks. Can you give us a little bit of color on what the leasing spreads were on the master lease agreement renewal? And then also just curious with the some more color on these master lease agreements? And maybe the history of this one? And where they make sense? And if over time, you will rollup more leases into some of these master lease structures?
Jeremy Garber: Sure Jon. I appreciate the question. This master leases is really an anomaly within the postal services network of leases. It was created before we purchased this portfolio of properties and it's unique in the way that it is structured. It's one lease that's governing 135 properties. The renewal of this lease was a predetermined dollar amount that they exercised. It was on their part to exercise. It wasn't a rent to be negotiated. There were no terms to be negotiated. And so that's how that lease was structured. I believe that as this company grows, there is a logic to the efficiency of having a master lease governing a portion of the properties. It's something that will probably be discussed with the Postal Service at some point. Whether or not it will have traction, I can't speak to it.
Jon Petersen: Okay. Got it. And then I guess just then volume of acquisition opportunities out there, maybe just generally what you guys are seeing? But then curious more specifically, do you have thoughts on the elimination of 1031 exchange? And I am sure we are all kind of thinking through this but how do you think that might play out for your opportunities, I guess, before and after a law like that were to be put in place?
Jeremy Garber: So I think we have spoken about this before. I think the elimination of the 1031 exchange would be a tremendous opportunity for us. There are a lot of people out there that wanted to further their capital gains. And as we know, there is a generational shift in the ownership of these assets. And so if the ability for them to do further capital gains is eliminated through the 1031 law, then contributing to the REIT would be their best alternative. So I believe that our OP unit currency would increase in value if that law or that regulation is changed or removed.
Jon Petersen: Okay. And then just generally in terms of appetite. Can you quantify, I guess, what your pipeline is in terms of number of deals that you are looking at right now?
Andrew Spodek: Yes. So as we have articulated, we gave $100 million target for 2021. We are on pace to do that $100 million. The pipeline is thankfully very, very strong. We are seeing a lot of good deal flow, a lot of different types of deals and different types of properties. And so we are very, very confident that we will be able to meet or exceed that $100 million number for this year.
Jon Petersen: Okay. Great. Thanks Andrew.
Andrew Spodek: Thank you.
Operator: [Operator Instructions]. Your next question comes from the line of Frank Lee with BMO. Please proceed with your question.
Frank Lee: Hi. Good afternoon everyone. Andrew, how should we think about acquisition funding for the remainder of the year? Any thoughts on opportunistically tapping the ATM and to pre-fund some of the acquisition activity this year, given your stock's performance?
Andrew Spodek: Hi Frank. I appreciate the question. I am actually going to pass this over to Rob to field, if that's okay.
Frank Lee: Okay. Yes. Fine.
Robert Klein: Yes. So as you know, we have quite a big tool-shed of things we can do here with on the equity side. So we have been looking at everything from the ATM to regularly offerings to OP unit deals and then our multiple sources of debt. So we are absolutely going to be opportunistic with a healthy mix of any and all of those things. We are in a very strong position, fortunately, with our balance sheet being low leverage and lots of room to fund our acquisitions as we see fit. So the answer is yes, we are going to look at all of those different types of equity to fund as well as the debt that we have available to us.
Frank Lee: Okay. Great. And then a question on the postmaster strategic plan that was laid out 12 months ago. I just want to get your thoughts on impact you think this could have on the USPS network?
Andrew Spodek: So we were very happy to hear that the Postmaster General feels that the network of post offices, which is obviously the buildings that we are acquiring, are critical infrastructure, not just to the Postal Service but to the American people. His plan lays out not just the importance of it and not just the importance of the retail network, but also the fact that he would like to invest in these buildings, invest in the retail network, invest in the customer experience. And all this just echoes everything that we have said since we have gone public. And so to hear that from the PMG was very reassuring.
Frank Lee: Okay. Great. Thank you.
Operator: Your next question comes from the line of Ed Groshan with Height Capital Markets. Please proceed with your question.
Ed Groshan: Good afternoon. Thank you for taking my question. Hope you are all well. Just to follow on to Frank's question there, any consideration of going to the bank to expand the accordion option on the debt line? Or we still have cushion before we get to consider it? And I guess what factors would come into play that would make you go to the bank to expand it?
Andrew Spodek: Yes. Thanks Ed. Good question. Currently, we have ample capacity on our facility. We are exploring alternatives to even increase our capacity. That can include things like other source of debt, put capital off on the facility. We do have $50 million additional accordion that can exercise. I don't think we need to do that just yet. But we do have that in our back pocket. And so at the moment, we don't have a need to expand our debt capacity because we do have enough left to fuel our acquisition pipeline for the year.
Ed Groshan: Okay. And can you just give us a sense of the properties? If you were going to go do some more mortgages, how much capacity do you have that's free from those properties? Is there any? Is there a lot?
Andrew Spodek: We do have capacity and we can always choose whether or not we want properties to be counted toward an unencumbered test or if they are encumbered as a different test with different covenants that are required to be met for our facility. So that's something that we think about all the time. And as you know, in the fourth quarter, we bought Warrendale, that was a consideration and we actually did put a mortgage on that because it made sense with the term, with the size and with the rate. So we are always thinking about that. But in general, it's a better use of our capital to use our facility. And you can see, in the last quarter, first quarter, we actually paid down a few mortgages because we thought it was a better use of our capital to have it on the line and to use equity proceeds from the offering, et cetera rather than have 4.25% debt outstanding.
Ed Groshan: Yes. And the Feds are going to help you out for a few years to keep the revolver line closed down.
Robert Klein: Exactly. That's right.
Andrew Spodek: That's right. we will obviously do the right thing. We will keep our debt cost down.
Ed Groshan: Right. And Andrew, thank you for answering the question there. $100 million is your target. You are clearly on pace to do $100 million. Do you get the sense like, is $100 million sort of like easy to get to at this point? Or do you think you have your work cut out for you, i.e., can we expect that you will do more than $100 million? And you can answer that the way you want.
Andrew Spodek: So I appreciate the question. Look, the guidance that we have given is $100 million. As the year progresses, we may adjust that guidance. But as of today, that's where we lay things out.
Ed Groshan: Okay. I appreciate that. That's all I have. Thank you so much.
Andrew Spodek: Thank you.
Operator: Ladies and gentlemen, we have reached the end of the question-and-answer session. And I would like to turn the call back to Mr. Andrew Spodek, CEO, for closing remarks.
Andrew Spodek: Thank you. On behalf of myself and the entire team, thank you all for taking tie out of your busy day to join us for this call today. We hope that everyone is staying safe and healthy and we look forward to connecting with you over the next coming months.
Operator: Ladies and gentlemen, this does conclude today's conference. You may disconnect your lines at this time. Thank you all for your participation.